Operator: Ladies and gentlemen, thank you for standing by. I am Emma, your Chorus Call operator. Welcome and thank you for joining the ZIM Q1 2021 Financial Results Conference Call.  I would now like to turn the conference over to Elana Holzman, Head of Investor Relations. Please go ahead.
Elana Holzman: Thank you, Emma and welcome to ZIM’s first quarter 2021 financial results conference call. Joining me on the call today are Eli Glickman, ZIM’s President and CEO; and Xavier Destriau, ZIM’s CFO. Before we begin, I would like to remind you that during the course of this call, we will make forward-looking statements regarding expectations, predictions, projections or future events or results. We believe that our expectations and assumptions are reasonable. We wish to caution you that such statements reflect only the company’s current expectations and that actual events or results may differ including materially. You are kindly referred to consider the risk factors and cautionary language described in the documents the company filed with the Securities and Exchange Commission, including our 2020 Annual Report filed on Form 20-F on March 22, 2021. We undertake no obligation to update these forward-looking statements.
Eli Glickman: Thank you, Elana and welcome to today’s call. It is truly a momentous time in ZIM’s 75-year history. I am excited to share with you our impressive year-to-date accomplishments as well as the important steps we have taken to unlock significant shareholder value. Following our successful IPO to become the first global container liner to list in the United States, we have continued our strong trajectory, which we outlined on Slide #4. First, our differentiated approach and a proactive strategy we implemented to capitalize on the highly attractive market have once again produced record results. For the second consecutive quarter, we generated all-time record EBITDA and net profit, with net profit for Q1 2021 higher than for the full year of 2020, again, net profit for Q1 2021 higher than for the full year of 2020. We are pleased to report that our consistent earning growth positioned ZIM as one of the leading carriers in terms of profitability. We also delivered our highest operating cash flow ever of $777 million. Notably, our Q1 2021 EBIT and EBITDA result were well above the implied guidance range that we provided in March 2021. Importantly, we continue to deliver industry-leading margins and once again, outperformed the liner industry average. Our adjusted EBITDA margin was our highest ever, 47%, again 47% and adjusted EBIT margin was also our highest ever, 39%, again 39%. We remain committed to our goal of consistently performing as one of the top three carriers in terms of EBIT margin. We also significantly strengthened our balance sheet. And today, our shareholder equity is more than $1 billion. Based on our strong first quarter performance, the robust market environment and the full completion of our freight contracts at higher rates, which we will discuss later, we are raising our 2021 guidance. Specifically, we now expect to generate 2021 EBITDA between $2.5 billion to $2.8 billion and EBIT between $1.85 billion to $2.15 billion. This is up from our March ‘21 exceptional of EBITDA in the range of $1.4 billion to $1.6 billion and EBIT in the range of $850 million to $1.05 billion. Our record result in the first quarter enabled us to achieve another important milestone for the shareholders. Based on our strong cash flow in Q1, we will redeem the entire $340 million principal amount outstanding on our Series 1 and 2 notes, eliminating the restriction we faced on paying a dividend on account of 2020 profit. We are proud to achieve this important accomplishment sooner than expected and earlier than the stated maturity by 2 all years, further strengthen our balance sheet and enhancing ZIM’s position to take advantage of favorable fundamentals for the benefit of shareholders.
Xavier Destriau: Thank you. Thank you, Eli and again, welcome everyone to our quarterly update. I will now briefly discuss our KPI specific Q1 figures and our strong cash position. Additionally, I would like to first reiterate Eli’s comments on our success during the quarter, drawing on our differentiated model and proactive strategies to generate record results.
Eli Glickman: Thank you, Xavier. Turning to Slide 17, we continue our path forward, enjoying significant momentum. I am extremely proud of our strong execution and significant accomplishment in just a few months since going public. As we continue to steam ahead, we will further position ZIM as an innovative digital leader of seaborne transportation and logistics services. We will advance our differentiated model and grown our strong foundation of standard and professionals, our culture of innovation and our sustainability value to successfully operate in the 21st century. We will also maintain a lateness focus on fueling ZIM’s goals, maximizing profitability into the future and creating long-term value. We will now open the call to your questions.
Operator:  The first question is from the line of Randy Giveans with Jefferies. Please go ahead.
Randy Giveans: How are you gentlemen? How is it going?
Eli Glickman: Very well. Thank you, Randy.
Randy Giveans: Very well, indeed. Yes. Congrats, obviously, on the record and epic quarter here. Can you talk about, first, the decision to declare the special dividend and how you decided on the $2 per share amount? And then also with the rising rates that we’ve been seeing, any reason why 2Q results would not exceed the results we’ve seen here in 1Q? And if improved, what are those additional plans for that free cash, more special dividends or more aggressive debt repayments?
Eli Glickman: Thank you, Randy. I will maybe start tackling your first question. The special dividend, you may remember that during the IPO, we communicated on our initial dividend policy, which was from 0% to 50%. And we also did mention that we were limited by the indenture by the documentation of the notes in our ability to distribute a dividend for distributable results or profits that we dated 2021. With the very strong first quarter that we are delivering now and the further testing of the cash sweep close as part of the indenture, we announced the full repayment of Tranche C and D far earlier than what we initially anticipated. And that basically freed us completely from any restrictions with respect to dividend payment. And so also combined with not only a strong first quarter, but a revised guidance in terms of outlook for 2021, which we’ve increased significantly by 70% to 80% compared to the last time we addressed you. We feel comfortable that there is no reason for us not to start distributing in 2021 as opposed to waiting, as we initially said in 2020. So today, the $2 per share, we believe represent a good remuneration to our shareholders that… Addressing your second question, when it comes to the improved guidance, we are very pleased with the market conditions. We are very pleased with us being able to increase our guidance for the full year of 2021. Nevertheless, from a dividend policy perspective, we are not changing, as of today, our dividend policy, which is still, I want to reemphasize that we intend to pay between 30% to 50% Q1 profit into 2020, ‘22, and that should come in early of month of next year.
Randy Giveans: Got it. Okay. And then you mentioned the improved pricing on your contracts. I think you said around 50% improvement. Can you provide an update on how much of your business is on those 1-year-or-so contracts following the contracting period in April and May, trying to get a sense for percentage of volumes, maybe duration, if they are all for 12 months or maybe some longer? And then ideally, an average contracted TEU rate for the coming year. Clearly, the backlog has improved based on your increased and relatively tight EBITDA guidance range.
Eli Glickman: The – yes, the percentage of long-term contract very much applied, first, on the transpacific trades, not so much on the other trades. And transpacific trades account for 45% pretty much of our overall volume and contribution. So now with – so when we are focusing on the transpacific, we continued this year, just very much like last year. We like the idea to have 50% of our volume on the long-term contract and to still benefit from the spot for the remainder of the 50%. So that has not changed in terms of volume allocation year-over-year. So overall, if you apply 50% to 45% of our overall volume from a full company perspective, we are still within 20% to 25% of our volume that are subject to long-term contracts. When it comes to the rates, indeed, we have – and we are very pleased with the outcome of the negotiation we’ve had with our customers. We did mention the significant increase versus last year. If you allow me, I’m not going to say more about this, providing an information in terms of incremental amount is something that we’re happy to do. Not so much to provide the detailed indication as to how much is the average revenue per TEU on our contract volume.
Randy Giveans: Okay. And then on the – when you use the term long-term, are those entirely 12 months or do you have some 18 months, 24 months?
Eli Glickman: It is willing 12 months, it is true that we had customers that were willing to discuss potentially – agree with us longer term commitment at the expense of a reduced rate. It is always the same strategy, a longer commitment or cheaper in a way. We were not so keen on pushing those discussions forward and quite pleased to limit the commitment to 12 months as we are still optimistic for the years to come.
Randy Giveans: Perfect. And then I will just sneak in one more here quickly, Slide 5, pretty incredible chart here showing your net cash leverage ratios coming down. Based on our cash flow projections, we could see being net debt zero, right, by some point in 2021. Is that a target? Do you have any kind of goal, leverage ratios or net cash, net debt amounts by year end?
Eli Glickman: You are right. We are continuing the downward trend in this respect. We have an objective to be at net debt zero. The answer is no. The – for us, we wanted to have – to deleverage our balance sheet, and we more than achieved our initial expectations and targets. So, there is no such thing as an objective to come down to zero in terms of leverage. This is – or in terms of net debt in this respect. So, we are happy where we are. This is more a consequence of the very favorable market conditions that lead to this outcome as opposed to a constant strategy to keep on pushing it down. Below 2, to be honest with you, I think we are more than happy.
Randy Giveans: Sure. Eli thanks so much for that. I am glad to know you all are staying safe over there. I have been praying for Israel peace in the region. So, you all take care.
Eli Glickman: Thank you very much.
Operator: The next question comes from the line of Omar Nokta with Clarksons Securities. Please go ahead.
Omar Nokta: Hi there. Good afternoon Eli and Xavier. Yes, second being Randy’s thoughts, obviously, on the crisis there. But also wanted to wish you, congratulations on another very, very strong quarter, and it sounds like we are going to be repeating the same message here in 3 months’ time. I wanted to ask about the guidance. And obviously, the $2.5 billion to $2.8 billion is a huge jump from where you were just a couple of months ago. And obviously, since then, we have seen a surge in freight rates. And I guess my question is, do you think that your EBITDA guidance for the year, just knowing what you know now, is still somewhat conservative considering you did $800 million of EBITDA already in the first quarter, which I guess indicates that you may potentially reach your guidance sometime within the third quarter? Any thoughts on that?
Xavier Destriau: First of all, I would very much hope so. This is a very good situation to be, to be in a position to raise the full year guidance. This comes on the back of a few favorable elements. First of all, we have – we enjoyed a significant increase in volume when we compare ourselves to the rest of our peers, when we compare ourselves quarter-over-quarter. We are carrying more than – we expect to carry more than 30% incremental volume on the back of all the new lines that we have opened and we continued to open. So that’s, I think one very strong driver behind the improved guidance. Obviously, the second one is the freight rates. And if you look and if we look at the SCFI, it is going up. When we initially thought that it would start to gradually decline, we are seeing the opposite trend, especially relevant on the trade lanes where we do operate. So, this is another very strong driver that explains why we significantly upgraded our guidance. And then lastly, there is – and we just talked about it, the finalization of the long-term contracts. So, we know that for Q3, Q4, we will benefit, even if we were to anticipate – or to be conservative and look at the spot market going a little bit – or softening a little bit. The long-term contract is going up and will be up quarter-over-quarter in Q3 and in Q4. So we – when we come to you, we truly think that the guidance that we are communicating now is well within reach of the company. So, we are saying it loud and clear that we truly believe that we will deliver on this commitment and guidance to you. Whether there is room for upside? We never know, and time will tell. In terms of forecasting horizon, we have clear visibility into Q2, obviously, a good visibility of Q3. Q4 is a little bit more blurry. But again, we see very strong and resilient market conditions.
Omar Nokta: Thanks Xavier. That’s really good color. And I guess maybe just wanted to double check on some of the figures you were talking to Randy about when it came to the spot versus contract. Just so I have it right, about half of the Transpacific business is on contract. And then outside of Transpacific, it’s primarily spot based and so – yes. And then so if we look at it from just ZIM overall, if the Transpacific is about 40% of the overall business, then effectively 80% of your business over the next 12 months is still open to the prevailing spot market?
Eli Glickman: That’s pretty correct. With the carryout on the Asia, which represents 20% of our volumes. You have another 20% to 30% of – we don’t say long-term contract, but it’s not really spot. It’s quarterly pricing.
Omar Nokta: Got it. Okay. And then just, sorry, one final one for me, you mentioned the $588 million that you have invested or you are planning to invest for this year on new equipment, primarily containers? You also recently contracted those 10 dual fuel new buildings. What are your thoughts on – do you feel comfortable with the existing fleet capacity? Do you see a need to go into the newbuilding market for more ships or are you happy with how things are at this point?
Xavier Destriau: Well, from a container – from an equipment perspective, it was very important to us to continue to bring in new containers as we are growing quite significantly quarter-over-quarter. So we took the initiative to order equipment quite a while ago, and we started to invest into third quarter of last year already and we are continuing aggressively to bring in additional equipment. When it comes to vessels, we are happy to continue to charter in capacity as opposed to go and buy the older vessels and ships. We did secured a long-term charter for the large capacity vessels that we expect to take delivery from – in 2023 to replace the 10,000 TEU vessels that we have continued growing on our Asia and U.S. East Coast. So we are pleased that we have concluded that agreement with the Seaspan in February. And then now we will continue to bring in vessels as we need in order to capture for the new lines that we are opening and were to renew existing charter that comes to a renewal date. But we are not challenging our strategy which is to continue to rely on charter market and then would be changed or what is changing location of short-term charter versus longer term charter due to the current market conditions obviously.
Omar Nokta: Got it. Alright. Thanks. I appreciate that and congratulations again.
Xavier Destriau: Thank you, Omar.
Operator: The next question comes from the line of Alexia Dodani with Barclays. Please go ahead.
Alexia Dodani: Yes. Good afternoon. Thanks for taking my questions and well done on navigating for successful such a volatile environment. I just have three questions please. Just firstly, just building on the bit of the previous questions, in terms of kind of size of the business now, I mean clearly you have talked about 112 vessels. And do you think we will end the year at the higher number and then what do you feel is the right number to kind of run the business with the kind of contractor volumes and the way the market is growing. And then secondly, just kind of tie up on the CapEx for the full year. Am I correct in thinking that CapEx now will be $488 million for the full year instead of $300 million previously?. And then just thirdly when you think about following kind of this period of extreme volatility because of traction and increased demand one thing you feel is the normalized earnings power of ZIM post-pandemic. I mean do you feel you can sustain this level of margins going forward because you have built your market share. And just a bit of color to that, that will great. And then just finally, on the order book, obviously it’s still quite low. And but it’s been moving quite a bit recently, at what point do you start worrying about supply-demand balance further out? Thank you.
Eli Glickman: Thank you, Alexia. I will try to take one after the other. So starting with your first question with respect to the number of vessels, we don’t have number of vessels in mind that we think is appropriate for us. Point of contrary, we see vessels as a means to an end. We look at the trade lanes where we think we can provide a competitive proposition and grow profitably. That’s the driver. And we have been engaging it very heavily and since already three quarters now of the ecommerce trade starting between Asia to the U.S. doubling and tripling the trade links and also complementing the similar type of trading between Asia to Australia. And we have been happy quite at it and hence we grew of it and continued to grow of it. We also are spending as we mentioned is our profits with them, if you recall trades Asia to the U.S., one. So that’s the driver for us is not the number of vessels, it’s building as long as we can grow and stay in trades that are profitable. When we go out those trades and we will stay in those trades, it’s not we will potentially agree. So, I guess I hope that answers your first question. We are at 112 vessels today, we might as well finish the year at 130 or at 100 this will be driven by our analysis of profitability of each of the trades where we do operate. Second, with a question with regards to CapEx, you are right. We are increasing our full year cash CapEx in a way by using the excess cash that we are generating today investing in the new containers as opposed to contracting leases with providers. So, you should consider cash CapEx of roughly $500 million or $550 million even for the full year of 2021, largely allocated to containers. Then your third question with respect to the volatility in our markets and what could be normalized earnings, what do we think can be – or the earnings power of ZIM. I think what is very important to us, we don’t know what the new normal will be. We don’t know whether it’s going to be drastically different from what it was before. We have views and expectations. One, we think that the market has gained maturity. That is clear to us in terms of capacity management, and that will also resonate with your fourth question. So, the market is more disciplined in this respect. So we as an industry have demonstrated that we could navigate certain changes in demand and in-market conditions. That’s one. Second, when it comes to the supply-demand dynamics for the few years to come, the expectations and the industry experts’ expectations are quite favorable for the line operator like us. So globally, we think that, that will eventually happen. We do agree that today’s circumstances are exceptional on the back of already a very good 2020. We think that 2021 will obviously be extremely good. We think that 2022, the start continue to be well aligned. What will be the new normal for the industry remains to be same. What is important for us is that in terms of positioning ZIM vis-à-vis our peers, our larger competitors, we continued to deliver superior EBIT margin. And we do that quarter-after-quarter. We think that the transformation, the new positioning of ZIM within our landscape is delivering results. The agility that we demonstrate is paying off. And then lastly, your question with regards to the order book, yes, it’s only up. But it’s only up from a very low number when we were talking and looking at what the situation was in October last year, but so long ago it was 8%. It was too low. Let’s be clear, it was too low to guarantee the replacement CapEx was too low as well to cater for the increased demand that is expected for the years to come. So, now we are at 17%. If I was to commit and say, well, where do we think is the threshold above which potentially there will be a risk of overcapacity? I think below 20%, we are safe, again, to capture for replacement capacity and to capture for the expected growth in our market. So 20%, I think, is a reasonable number.
Alexia Dodani: Thanks Eli. And actually, if you don’t mind, I will ask a follow-up on just the future technologies. I mean there is a little bit of a debate at the moment whether LNG is the right fuel – transition fuel to kind of get the industry de-carbonized? I mean clearly, yourselves have voted with your feet towards kind of LNG. I guess what is your view? I mean do you feel that it’s good enough, and therefore, that’s where you have decided to target your future requirements? Just any color on what kind of the industry is discussing at the moment would be helpful?
Eli Glickman: Sure. No, we don’t think that LNG is going to be the long lasting technology that will allow for the industry to fully carbonate. LNG solves and addresses a few emission issues, but it doesn’t address CO2 emission. It is more a CO2 friendly, if I can put it that way, than the fuel or – but it is not the long-term solution. But it is the best solution that is available today in terms of scalability, in terms of access. When we have to make the decision to enter into this long-term agreement with Seaspan, for us, it was a no-brainer. But we didn’t want to buy because we don’t think that it is going to be – the LNG technology might eventually or will most likely be replaced with an alternative technology, be it ammonia, be it hydrogen that will solve the CO2 emission question. So, we don’t want to buy, and we don’t want to take any residual value risk on the vessels. Nevertheless, we are willing to commit to a long-term charter and to use the best available technology of today, which is clearly LNG. There is no better viable technology today than this. So, that’s our sense. We are not a vessel owner, and we are happy to remain like this permanently. And again, when we just negotiated with Seaspan, we wanted Seaspan to make the most environmentally friendly choice when it came to serving ZIM. And in turn, allowing us to serve our customers in the most efficient manner from our intensity perspective.
Alexia Dodani: Understood. Thank you very much.
Operator: This concludes our Q&A for today. I will hand back to Eli Glickman, CEO, for closing comments.
Eli Glickman: Thank you, operator. I would like to thank everyone again for joining us today’s call and for your interest in ZIM. We look forward to sharing an update on progress with you in the future. Thank you very much. Goodbye.
Operator: Ladies and gentlemen, the conference has now concluded, and you may disconnect your telephone. Thank you for joining, and have a pleasant day. Goodbye.